Operator: Greetings. Welcome to the Gannett third quarter earnings call.  At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require Operator assistance during the conference, please press star, zero from your telephone keypad. Please note this conference is being recorded. At this time, I’ll turn the conference over to Trisha Gosser with Investor Relations. Trisha, you may now begin.
Trisha Gosser: Thank you Rob. Good morning everyone and thank you for joining our call today to discuss Gannett’s third quarter 2021 results. Presenting on today’s call will be Mike Reed, Chairman and Chief Executive Officer, and Doug Horne, Chief Financial Officer. During this call, we will discuss Gannett’s financial results for the quarter. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition our earlier press release. We will be referencing it today on the call as it provides you with additional details on this quarter’s performance. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements made during this call are or may be deemed to be forward-looking statements, including those with respect to future results and events, and are based upon current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement, as well as the risk factors described in Gannett’s filings made with the SEC. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. In addition, we will be discussing some non-GAAP financial information during the call today. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any interest in Gannett. The webcast and audiocast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted with our consent. With that, I would like to turn the call over to Mike Reed, Gannett’s Chairman and CEO.
Mike Reed: Thanks Trisha. Good morning everyone. Thanks for joining us this morning on our third quarter earnings call. We are pleased to report this morning that the third quarter was another strong quarter for Gannett, especially in the areas of our business plan that are the most important for the evolution of our business and our long term growth. Our results in the quarter evidence continued strong growth in our digital-only subscriber counts and in our digital marketing solutions segment. These represent stable and recurring revenue streams that are growing very rapidly with big, addressable markets that we are penetrating. The increases in these digital categories in Q3 led to year-over-year same store revenue growth and for the fourth consecutive quarter year-over-year adjusted EBITDA growth. Also, importantly our results are in line with previous guidance we had given at the end of the second quarter and again when we did our most recent refinancing about a month ago. Q3 adjusted EBITDA was $102.1 million with a margin of 12.8% for the quarter, and that brings our last 12 months adjusted EBITDA to $467 million, up meaningfully from 2020. We achieved positive net income in the quarter of $14.7 million and adjusted net income was a very strong $26.5 million in the quarter. Further, I am excited to report that our last 12 months digital revenues have now exceeded $1 billion and our overall digital revenues are growing at 15% to 20%. During the third quarter, we were able to meaningfully pay down principal on our five-year term loan, reducing debt by $91 million in the third quarter. Our aggressive debt repayment this year combined with strong financial performance has allowed us to opportunistically refinance our term loan B. This refinancing was completed in October, just last month. In fact, this was our second refinancing in 2021.  We have been able to materially reduce the cost of our debt, our ongoing cash interest expense, and we have continued to lower our leverage. We continue to remain on our aggressive plan to de-lever our balance sheet. We were able to pull strong financial results this year along with multiple refinancings despite the lingering impact of the COVID-19 pandemic, as well as the inflationary pressures that have risen here in the U.S. and impacted so many. It’s worth highlighting that we have repeatedly shown that even in a challenging environment, the compounding growth in our digital revenue businesses and our ability to strategically modulate our cost structure continues to allow us to produce stable and growing adjusted EBITDA and free cash flow. With regard to our strategy, in alignment with our first strategic pillar, accelerating digital subscription growth, we have accumulated our three best quarters ever of digital-only subscriber growth here in 2021 with the third quarter being our biggest growth quarter ever. Our subscription-led strategy resulted in adding 164,000 net new digital-only subscribers in the third quarter, outpacing our previous high set in the second quarter of 2021. The accelerating growth is built on new product launches such as USA Today Sports Plus, a new premium personalized sports subscription product that went live in early September, in addition to our growth in our recently launched paid crossword app, as well as continued progress with our newly launched USA Today premium content subscription strategy. These new products combined with the continued strong growth in our local subscriber business has allowed us to begin to further accelerate our overall growth rates. More on that in a minute. USA Today Sports Plus immersive and interactive product gives subscribers access to augmented reality experiences, data visualization that the USA Today brand was built on, podcasts, and access via live chats and text messages to the remarkable journalists across the USA Today network, including Josina Anderson, an NFL expert and a veteran with over 20 years of experience, who previously worked for ESPN and was named the network’s first female national NFL insider in 2015. We’re so happy to have her onboard here at the USA Today. USA Today Sports Plus is currently live in seven markets with more markets being added in the coming year.  An expanding product portfolio which includes digital subscriptions in our over 200 local markets and at the USA Today, as well as ancillary products such as our crossword app and Sports Plus app, now allow us to test the impact of bundling on both subscriber growth and retention. Increased rigor on content and brand marketing and on data intelligence led by our Chief Marketing and Strategy Officer, Mayur Gupta, and our newly added Chief Data Officer, Nate Rackiewicz, who joined us in August, have also helped drive more new net subscribers in the last two quarters than in all of 2020. We’re really happy that Nate joined us as well. While we are excited about the growth this year, we firmly believe we are in the early stages. With 179 million average monthly unique visitor and the sixth largest reach among all domestic media peers, our digital-only subscriber volume represents less than 1% of our audience reach, so tremendous upside as penetration increases. We expect to end 2021 with more than 1.65 million digital subscribers, and that will represent growth of over 50% versus 2020. With expectations of an expanding product portfolio and accelerated marketing flywheel and the application of rigorous data science, we are building plans to continue this accelerated growth rate going forward into 2022. The success in our digital subscription efforts was complemented by success in our second strategic pillar, accelerating the growth in our digital marketing solutions segment. The digital marketing solutions business, which operates a SaaS-like model on our proprietary local IQ marketing services platform, now generates approximately $440 million of revenue annually with growth rates that are expected to outpace the competitive market. Our core platform revenue, which we view as customers using our proprietary digital marketing services platform, that are sold by either our direct or local market teams, grew 26% year-over-year to $113 million in the third quarter, and importantly the segment recorded record adjusted EBITDA margins again this quarter at 12.9%. Sequentially, client count demonstrated modest growth and ARPU grew 7%.  In the quarter, we also augmented our current local and direct sales channels by enabling a new freemium digital marketing solutions offering on our platform which will serve as a low friction tool for acquiring registered users while providing small businesses immediate marketing value and exposing them to the proprietary functionality of our broader local IQ platform. The freemium offering will operate in close connection with our marketing efforts and inside sales capabilities to create an engaged segment of new customers which may not have previously considered local IQ.  The first two phases were launched in Q3, which enable a registered user to receive a free assessment of their current marketing presence and to create a local IQ account with access to the local IQ university and the ability to connect with a salesperson. In Q4 and in 2022, we will enable additional features that drive platform engagement and the ability to purchase solutions within the freemium experience, either directly or via one of our sales channels. We look forward to updating you in the coming quarters on the metrics generated by the freemium channel and are excited by potential to expand our TAM and reduce our customer acquisition costs through these efforts. This could represent our biggest growth category within the DMS segment over the next five years. We continue to invest in our local IQ platform with our product team consistently rolling out product improvements to what we believe is already a best-in-class solution to help businesses build web presence, drive leads and awareness, and expertly manage leads and engage customers. In the third quarter, among other enhancements, we added a competitor keyword automation as soon as campaigns go live through our improved smart algorithm, which uses over 100 million national and local U.S. businesses to drive further optimization. We also implemented the use of first party data as we strive to help businesses reduce their dependence on third party cookies. We now allow businesses to leverage their own customer data to target lookalike audiences at both Google and Facebook.  We believe that ongoing investment in product and marketing combined with sales channel expansion are critical to sustaining the double digit growth in our core platform business and expanding our core client count from over 15,000 today to a more meaningful percentage of the over 30 million small businesses here in the U.S. Our third strategic pillar is optimizing our traditional print business across circulation and advertising. In the coming year, we will be creating a focused regional effort on enhancing the performance of our legacy print offering across the country. We continue to have many levers to pull around our print business that we believe can improve the business performance coming from this segment despite the secular headwinds we face, from data governance and intelligence impacts on customer acquisition and preferences to capitalizing on the standard systems and data analytics that have been put in place through the integration from our merger in 2019 to reinvigorating our single copy sales channel post pandemic. Improved customer service and a focus on the right pricing all will lead to improvement in our legacy print business in 2022 and beyond. Our fourth pillar is prioritizing investments in our growth businesses. In the third quarter, we announced our five-year agreement with Typical USA, the U.S.-based sports book of Typical Group Limited, the leading sports betting provider in Germany. With this announcement, Typical became the exclusive sports betting and i-gaming provider for Gannett in the U.S. The five-year agreement includes $90 million in media spend by Typical, incremental incentives payable to Gannett for customer referrals upon reaching certain thresholds, and the ability to acquire a minority equity stake in Typical USA. In September, we officially launched content assets to support this exciting partnership and engage the avid sports betting fan. The team launched Sportsbook Wire, Bet FTW - Bet For the Win, a site dedicated to sports betting analysis. We launched a video series onsite, and Bet For the Win 101 to help inform and educate bettors. Additionally, the video series, Lorenzo’s Locks, is back for another football season, and more video and podcasts will be launching over the next several months. In just the first two weeks, these assets drove nearly 15 million page views.  We will continue to bet big on sports with a sports audience here at Gannett of over 53 million sports fans, and we have over 500 dedicated sports journalists to help expand our coverage of the growing sports betting market.  The events business remained under pressure in the third quarter with the resurgence of the COVID-19 pandemic with the delta variant, which directly impacted our ability to host live events. While we initially saw live events accelerate in the second quarter, we largely returned to virtual events in the third quarter and expect to remain substantially virtual in the fourth quarter this year. Despite these challenges, events revenue still grew 33% year-over-year in the third quarter, and our marquee events drove impressive engagement with just over 2 million virtual and live event attendees within the quarter.  RAGBRAI, the Des Moines Register’s Annual Great Bicycle Ride Across Iowa, returned in July of 2021. The first National High School Sports Award Show was held this summer as well with featured hosts Michael Strahan and Rob Gronkowski, and highlighted more than 1,000 honorees from 50 states, and earlier this week we aired the American Influencer Awards, hosted by Andy Cohen. Our American Influencer Awards honors influential and talented social media personalities in categories including beauty, fitness and lifestyle, and it drives significant engagement with over 5.8 million votes cast this year through our website.  This diverse portfolio of events brings a broad, engaged, local to national audience into the Gannett ecosystem, and we remain firm in our belief that events will be able to generate 40%-plus year-over-year growth as we emerge from the pandemic. Our fifth and final strategic pillar is building on an inclusive and diverse culture. This commitment is the core pillar of our organization and influences all aspects of our operations, from hiring, on-boarding, and educating, to aligning our culture around empowering our communities to thrive. Last year, we published our inclusion goal for 2025 and published our first company-wide Workforce Diversity Report earlier this year. In addition, during the third quarter of 2020, our newsrooms published demographic metrics and pledged to build a workforce that mirrors the demographics of the nation and the communities we serve by the end of 2025, and to publicly report our staff demographics each year. This September, our news organization published results from this year’s survey, which reflects our newsroom workforce as of July 13, 2021. USA Today increased the proportion of Black, Indigenous, people of color journalists, and also increased female representation year-over-year. Similar gains were recorded in local newsrooms, including Detroit, Indianapolis, Louisville, Nashville, Phoenix, and Rochester, New York. To be sure, this work must continue in advance, but we remain committed to achieving our 2025 targets and to accurately reflect the interests, issues, and lived experiences of the people we serve. I would also like to highlight the fantastic work the Gannett Foundation has done this year. In October, the Gannett Foundation announced $5.4 million in grants through the company’s A Community Thrives program. In its fifth year, A Community Thrives awards grants to worthy causes and organizations across the United States, aiming to improve their communities. Supported by the Gannett Foundation, the program encourages non-profits to promote their ideas and efforts on a national platform, leveraging the USA Today network, including USA Today and over 200 local media brands to drive further awareness and support through donations. Gannett’s driving mission is to empower our local communities, and A Community Thrives is honored to support this year’s recipients in their efforts to create change in their local communities. Now turning our attention to the fourth quarter, we are estimating same store total revenues to decline in the low single digits. This decline reflects the impact of small market newspapers we have sold or, in rare cases closed during 2021, combined with the impact the pandemic continues to have on the events business as well as cycling against a strong fourth quarter last year, both in terms of revenue and adjusted EBITDA. Despite small same store revenue declines expected in Q4 for the reasons noted, our two-year CAGR continues to improve and we expect that to improve again in Q4. We are very encouraged by this improving trend. As we march towards sustainable revenue growth, our two-year total revenue CAGR trend improved from down 12.8% in Q1 to down 12% in Q2 to down 10.1% in Q3, and we expect to be inside 10% in Q4.  With respect to adjusted EBITDA, we expect margins to be higher in the fourth quarter than the 12.8% we posted in Q3. We expect margin to be in the range of 14.5% to 16%. As I mentioned before, we have repeatedly demonstrated our ability to modulate our cost structure in response to macroeconomic conditions. The upcoming fourth quarter and early 2022 will be no different.  We consistently review our print portfolio and operations and optimize costs and strategies across a broad base of variable expenses that support our print operations. With growing and recurring digital revenue streams and an improved capital structure with materially lower cost of debt, we are very confident in our ability to drive strong, stable adjusted EBITDA and cash flow, even during periods of economic disruptions. I’d now like to turn the call over to Doug to discuss the details of our financial performance in the third quarter and the refinancing efforts we just undertook in much more detail. Doug?
Doug Horne: Thank you Mike, and good morning everyone. For Q3, total operating revenues were $800.2 million, a decrease of 1.8% as compared to the prior year quarter. On a same store basis, operating revenues increased 0.9% year-over-year. Total digital revenues were $265 million, increasing 17.8% on a same store basis year-over-year. Adjusted EBITDA totaled $102.1 million in the quarter, up $14.1 million or 16% year-over-year. This strong performance was against a prior year adjusted EBITDA number that included $4.8 million of adjusted EBITDA associated with a print business that we disposed of in the fourth quarter of 2020. The adjusted EBITDA margin was 12.8%, in line with our outlook and up 200 basis points from the 10.8% recorded in the prior year quarter. Adjusted EBITDA expenses of $713.2 million declined 1.8% year-over-year and benefited from $15.1 million of PPP loan forgiveness in the quarter. On the bottom line, we achieved $14.7 million of net income and $26.5 million of adjusted net income attributable to Gannett in the third quarter. Our net income compares favorably to the prior year, where we incurred a loss of $31.3 million. We are benefiting in part year-over-year as a result of 40% lower interest expense as compared with the prior year. Moving now to our segments, the publishing segment revenue in the second quarter was $715.8 million, down 2.2% as compared to the prior year quarter and flat year-over-year on a same store basis. Print advertising revenue decreased 4.3% compared to the prior year on a same store basis as a result of the continued secular decline in the print advertising category. Digital advertising and marketing services revenues increased 16.1% on a same store basis, reflecting strong operational execution from our national and local sales teams. Despite reduced page view volumes as compared to last year’s peak news cycle, digital media revenue increased 10.6% versus the prior year. National sales of digital media grew 21% as compared to the prior year and 45.5% on a two-year basis. We saw strong national demand for both our owned and operated and our off-platform properties, particularly surrounding our sports assets.  Digital classified revenues increased 12.3% on a same store basis, and we now have fully cycled the prior year expiration of the Cars.com contract. Additionally, we saw strong performance in our employment, obituaries, and legal notice categories. Digital marketing services revenues in the publishing segment continued the strong performance with 36% same store year-over-year growth. The publishing segment delivered its second consecutive quarterly record for digital marketing services revenue at $34.1 million as a result of robust operational productivity. Our solutions continue to resonate with our small business customers and our local sales force continues to improve its DMS productivity, resulting in client count growth of 4% over the previous quarter. Moving now to circulation, where revenues decreased 8.2% compared to the prior year on a same store basis, which compares favorably with the Q1 and Q2 same store trend of down 12.9% and down 9.2% respectively. Within circulation, home delivery trends also improved as we cycled some of the seasonal impacts we saw in the prior year as a result of the COVID-19 pandemic. Single copy remains negatively impacted by the ongoing pressure of the pandemic as a result of lower business travel. The resurgence in the COVID-19 pandemic early in the quarter contributed to single copy being down 5.6% on a same store basis in the third quarter versus being down 5.1% in the second quarter.  Digital-only subscriber growth yielded 27% growth in digital-only revenue. Digital-only subscribers grew 46% year-over-year to approximately 1,543,000 subscriptions. Digital-only ARPU declined slightly year-over-year as we continue to focus on growing the overall volume of our subscriber base. We expect that ARPU will stabilize and begin to increase again in 2022 as the higher volume of digital-only subscribers will begin to roll off their introductory pricing plans.  Adjusted EBITDA for the publishing segment totaled $101 million, representing a margin of 14.1% in the third quarter versus the 14.8% we generated in the prior year. The publishing segment’s Q3 margin was negatively impacted by the resurgence of the COVID-19 pandemic and the impact that it had on both single copy distribution, as well as our live events business. Also, we are experiencing increased delivery costs related to postage and contract labor, as well as higher newsprint costs versus the prior year.  For the digital marketing solutions segment, total revenue in the third quarter was $116.8 million, an increase of 16.5% year-over-year on a same store basis. As compared to Q2 of 2021, revenue grew $8 million or 7.7% primarily due to increases in ARPU.  Core clients, those that utilize our proprietary digital marketing services platform, increased modestly from 15,300 clients in Q2 to 15,400 clients in Q3. The increase in ARPU was largely attributable to a few seasonally large national customers, and we expect ARPU to return to previous levels in the fourth quarter.  Comparing to the prior year quarter, the core business, which accounts for over 95% of the revenue in the digital marketing solutions segment, increased 25.8% year-over-year. Average client count held relatively flat year-over-year at 15,400, despite the fact that the prior year included approximately 2,000 low dollar accounts that were subsequently transitioned off the platform as a result of a strategic change in our product set.  ARPU growth of 26.4% over the prior year reflects not only the impact of large national clients, but a focused product portfolio which drives more effective results for clients and higher ARPU and margins within the segment.  Adjusted EBITDA for the digital marketing solutions segment totaled $15 million, representing a strong margin of 12.9% in the third quarter, our second consecutive quarter of record adjusted EBITDA and adjusted EBITDA margin.  Our Q3 net income attributable to Gannett was $14.7 million and includes $48.1 million of depreciation and amortization. The company’s effective tax rate for the quarter was impacted by the forgiveness of the PPP loans and the creation of valuation allowances on non-deductible interest expense carry forwards. Net income in the quarter benefited positively from our improved capital structure. In Q3, our interest expense was approximately $35 million, which is down 40% from the prior year.  Let’s now turn to the balance sheet. Our cash balance was $141.3 million at the end of Q3, resulting in net debt of approximately $1.26 billion. Capital expenditures totaled approximately $11.4 million during Q3, reflecting investments related to digital product development, technology, and operating infrastructure. Free cash flow in the third quarter was $29.3 million, which reflects interest payments of approximately $30.4 million.  We ended the quarter with approximately $1.4 billion of total debt, comprised primarily of $899.4 million of the five-year term loan and $497.1 million of 2027 convertible notes. During the quarter, we repaid $91.1 million of debt funded through $39 million of real estate and other asset sales, as well as excess cash. We expect to generate $40 million of incremental asset sales in the fourth quarter, which would bring our total asset sales for the year to approximately $100 million. As Mike mentioned earlier, during October the company secured a new $516 million five-year senior secured term loan. The proceeds from the new senior secured term loan together with the net proceeds from a private offering of $400 million first lien notes due in 2026 allowed us to fully repay the previous five-year term loan. The refinancing reduced our cost of debt by nearly 200 basis points, lowering our blended rate of debt outstanding to approximately 5.8%. The new senior secured term loan contains usual and customary covenants for credit facilities of this type and is substantially similar to the previous five-year term loan, with one notable update.  We are pleased that the new term loan will permit the repurchase of outstanding junior debt or equity, including the existing convertible notes up to $25 million per fiscal quarter, provided that the first lien net leverage ratio for that quarter is less than two times. First lien net leverage as of September 30, 2021 was 1.6 times. We estimate that we will recognize a loss on the early extinguishment of the five-year term loan and the other refinancing fees of approximately $31 million during the fourth quarter of 2021. As a result of these expenses as well as our forecasted tax provision, we are currently forecasting an overall net loss for the fourth quarter. I will now hand it back to the Operator so we can give everyone an opportunity for questions.
Operator: [Operator instructions] Our first question is coming from the line of Doug Arthur with Huber Research. Please proceed with your questions.
Doug Arthur: Yes, good morning. Just a question on ARPU and digital. Obviously you’re growing your subs nicely. The revenue number is still to be harvested, I would say. You talked about stable ARPU in 2022. I guess the question is, at what kind of level of subs would you start to press the price level lever a little more aggressively?
Doug Horne: Thank you for the questions. This is Doug, and certainly Mike can jump in if he has some additional things to add.  I think what we’re talking about in terms of ARPU for 2022 is kind of the natural progression of the subscriber base, so I think we are going to remain really focused on maximizing the volume of our digital subscribers, but naturally as those subscribers age, we’re going to be able to increase, or they will naturally increase off their introductory pricing plans to more of the full priced monthly rate. As we get more and more of those subscribers in the ecosystem, I think we’ll naturally see ARPU stabilize and then begin to increase, so we’re not looking at next year as necessarily attacking a price level, but really more of the maturation of the base itself. 
Mike Reed: Yes Doug, we have such a long ways to go with penetration. With 179 million monthly uniques, the volume growth that we see over the next five years far outpaces needing to do price increases or any kind of work like that. But you’ll see as our core customers come on, increasing ARPU and increasing revenue growth rates that start to mirror the growth rates of our actual subscriber counts as this business segment for us matures a little bit.
Doug Arthur: Do you have enough data on churn at this point, or is it just too early in the process to really draw any major conclusions in terms of price sensitivity, etc.?
Mike Reed: Well, we are using the data to drive all of that work, and we do have good data so far. I would say it’s still early, but our data right now suggests that we’re keeping 70% to 75% of our consumers that come on, so the data is good, it’s strong, and we’re moving folks after the introductory offer up to more normalized pricing and retention is good.  Once a customer stays with us for more than a year, that retention on an ongoing basis improves to above 80%, so it is still early but the data so far suggests strong retention.
Doug Arthur: Okay, great. Two other questions. There’s a lot going on with your USA Today franchise - you know, sports betting, this venture thing. Mike, is there a way to sort of frame the overall revenue size of the USA platform, and I know single copy sales is obviously a source of weakness, you mentioned business travel, but--or is it just sort of ubiquitous through the system because you’re inserting a lot of sections into local papers, so it’s really hard to box?
Mike Reed: Well, to that question, Doug, the USA Today news business itself represents a little bit less than 15% of Gannett’s total revenue; however, the sports gaming partnership we’ve undertaken, we’ve undertaken as part of Gannett and our USA Today network, so all of our local properties as well as USA Today are part of the gaming partnership. The standalone news business for USA Today, which has both digital print circulation and digital and print advertising, is a little bit less than 15% of the overall Gannett. The growth that we see in the future coming from these new product launches, like Sports Plus app, crosswords, the gaming partnership are really distributed across the entire network, not tied specifically to the USA Today news product. 
Doug Arthur: Okay, that’s really helpful. Then finally, any color on trends at Newsquest?
Mike Reed: The Newsquest business has actually performed very well since the pandemic hit. It’s been--it’s actually been one of our best performing assets during really 2020 and ’21, so we can’t say enough about the great job the team’s done over there and their ability to maintain revenue and profitability during the pandemic. There’s not anything more strategic going on than that, we’re just very pleased with the performance and they’re a nice contributor to our overall business. I will say they represent less than 10% of Gannett’s overall revenue and profitability, but it’s still a nice contributor. 
Doug Arthur: And has their digital strategy--I mean, I know they were sort of early movers, I believe, if I can remember correctly. Has their digital strategy been a success, in your view?
Mike Reed: I think their digital strategy is actually more early stage than here in the U.S. Right now in the U.S., about 20, 21% of consumers are willing to pay for digital news online, and in the U.K. it’s a little bit less than 10%, so I think that the upside for the U.K. on the digital side, both the digital marketing solutions segment as well as digital subscriber growth, there’s more upside there. They’re not as far along as what we see here in the U.S.
Doug Arthur: Interesting, okay. All right, great. Thank you very much. 
Operator: Thank you. As a reminder, it is star, one to ask a question at this time. Our next question is from the line of Lawrence Fuller of Fuller Asset Management. Please proceed with your question.
Lawrence Fuller: Hi, good morning. Thanks for taking my questions, and congratulations on a great quarter. I have two questions for you.  First question is regarding the poison pill that’s outstanding, are there any plans, discussions on lifting the cap of 5% for institutional shareholders? 
Mike Reed: Not in the near term, Lawrence, and thank you for the question and the comment here. We have a three-year window for tax purposes to protect that NOL post the merger we did with Gannett, so about a year from now that three-year window expires, and certainly our intention as a company will be to move that threshold up from the current 4.9%. But right now, it’s really in the best interests of all shareholders that we protect that NOL.
Lawrence Fuller: Okay, understood, then one more. I wanted to ask you about the Local Journalism Sustainability Act, which is--in the latest version of the budget that came out this week, assuming we actually have a budget that passes, if it does pass, have you all quantified the impact that will have on your business in 2022?
Mike Reed: Yes, you know, on a gross basis we think if it passes as it stands today, it could be $30 million to $35 million of employment tax credits for Gannett.
Lawrence Fuller: Okay, and then with respect--I guess that’s with respect to the credits for digital subscribers, print subscribers, as well as the credits for small business ad spending, I guess that’s something more difficult to quantify, if you can at the moment?
Mike Reed: Well Lawrence, the most recent version of the bill this week, obviously it’s been moving by the hour, it seems like, the most recent version--
Lawrence Fuller: Right, [indiscernible].
Mike Reed: It did not, it only included the employment tax credit for employing journalists. 
Lawrence Fuller: Okay, that’s what I thought. I didn’t manage to read the entire 2,200 pages, so thanks for explaining that to me.
Mike Reed: Yes, it’s a lot to read.
Lawrence Fuller: Okay, I appreciate it. Thanks very much. Great job.
Mike Reed: Thank you.
Operator: Thank you. There are no additional questions at this time. I’d like to turn the floor back to Mike Reed for additional comments.
Mike Reed: Okay, great. Thank you everybody. I just wanted to mention something - Doug mentioned at the end of his commentary about the enhanced restricted payment baskets and opportunity we have as a company with our latest credit facility. It’s really important because it really opens up all levers for us now to create value for shareholders, and as we think about capital allocation, we now have additional levers. We can continue to invest in the business, which we’ll do. We’re going to continue to de-lever and pay down debt. We also have more optionality now to repurchase common shares of stock in the market, as well as repurchase convertible notes, so even more levers available to us to allocate capital and create value for shareholders.  In summary, very solid execution by our business, and we’re squarely on track to deliver an outstanding 2021. We continue to execute against the strategic priorities we laid out for everybody at the beginning of the year and we continue to discuss on all of our quarterly updates. The top priority for our company continues to be driving recurring digital revenue growth through our digital-only subscription business and the increased penetration of our digital marketing solutions business, and debt repayment remains a very high priority in terms of how we think about capital allocation. De-levering that balance sheet is still a high priority. As our results year-to-date demonstrate, our focused execution on the five pillars of our growth strategy is working well, and we’re excited about the significant opportunities which lie ahead and look forward to keeping you apprised of our progress as we drive momentum in 2022 and as we continue to create value for our shareholders. Thanks for joining us today. Appreciate the time and the support. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.